Operator: Good day, everyone. And welcome to this Arch Coal Incorporated Third Quarter 2014 Earnings Release Conference Call. Today’s call is being recorded. At this time, I would like to turn the conference over to Jennifer Beatty, Vice President of Investor Relations. Please go ahead.
Jennifer Beatty: Good morning from St. Louis. Thanks for joining us today. Before we begin, let me remind you that, certain statements made during this call, including statements relating to our expected future business and financial performance may be considered forward-looking statements according to the Private Securities Litigation Reform Act. Forward-looking statements, by their nature address matters that are, to different degrees, uncertain. These uncertainties, which are described in more detail in the annual and quarterly reports that we file with the SEC, may cause our actual future results to be materially different than those expressed in our forward-looking statements. We do not undertake to update our forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by law. I would also like to remind you that you can find a reconciliation of the non-GAAP financial measures that we plan to discuss this morning at the end of our press release, a copy of which we have posted in the Investors section of our website at archcoal.com. On the call this morning, we have John Eaves, Arch’s President and CEO; Paul Lang, Arch’s Executive Vice President and COO; and John Drexler, our Senior Vice President and CFO. John, Paul and John will begin the call with some brief formal remarks, and thereafter, we’ll be happy to take your questions. John?
John Eaves: Good morning. Today Arch released its full third quarter financial results. We reported $72 million of adjusted EBITDA and generated positive free cash flow of nearly $60 million. We ended the September with $1.3 billion in total liquidity and held more than $1 billion that liquidity in the form of cash. Our results continued to demonstrate that we’re successfully managing those variables under our control. Our performance also shows a modest uptake in domestic thermal coal demands. Shipment levels rose, pricing increased and cash cost declined in our western operations helping increased profitability in those segments in the third quarter. In fact, due to strong operating performance in the Bituminous Thermal segment, we’re reducing our cash cost guidance again for 2014 and we’re maintaining our annual cost guidance for the PRB and Appalachia implying lower cost in the fourth quarter. Overall, we’re pulling the right levers to navigate the current market environment. As we look ahead, our focus remains on prudently managing our sales and production levels, containing our cost and capital spend, optimizing our asset portfolio for evolving coal landscape and preserving and enhancing our financial flexibility. Taking a longer-term view, we’re confident that we have low cost, long-term and well diversified assets that can generate cash even into the current market conditions and that can deliver strong profitability and shareholder returns as markets recover. Turning now thermal markets, we still expect domestic coal consumption to be up 10 million tons or so in 2014 and that’s taking into account the cooler summer we’ve had in coal concerning regions in the past 30 years. Even with the disappointing summer burn, we continue to see real interest from our customers and layering in significant tonnage for multiple years. Paul will provide an update on our thermal book in his prepared remarks. Looking ahead, the upcoming winter could provide further support for the domestic thermal market. Western coals remained comparably priced versus the forward natural price curve moreover coal stockpiles generators particularly those they’re PRB served are low. We’re seeing customers who are concerned about rail delivery, take coal plants offline during the season in order to ensure that they have enough coal in hand to meet demand this winter. Nationwide, we believe the stockpiles will end year below a 135 million tons and are likely to be much lower than targeted levels in PRB served markets. Over the past two years, generators have liquidated roughly 15 million tons from their inventory, essentially eliminating a cushion to service demand spikes. At these levels, stockpile level should as low as we have seen since 2006. This trend certainly could create a more dynamic market in 2015. We expect rail service to improve rail carriers are spending to add power and crews and are investing to increase fluidity. Customers will then be able to enter the market through replenish their stockpiles. We currently expect PRB demand to be up in 2015 and that’s despite the potential impact from that. Longer-term of course, the coal industry will be impacted by plant closures stemming from aggressive EPA regulations. We estimate that 60 gigawatts of coal generating capacity will likely retire by 2018, nearly a third of those plants are already closed. In 2015, we anticipate approximately 20 gigawatts will close, affecting up to 25 million tons of demand on a gross basis, but that’s we consider restocking needs and the potential for generators to run their remaining coal plants harder to meet the demand serviced by those shut down plants. Thus, we continue to see real opportunities for slight cold regions with long days of reserved lives that sit competitively on the cost curves such as the PRB. Turning to the international markets, we continue to see long-term growth potential in the seaborne coal trade. In fact, India’s coal imports have increased by nearly 20 million tons year-to-date, which is more than offset a decline in China’s import thus far in 2014. At the same time, global thermal prices have fallen to levels that price out all of the most competitive years coals including some of Arch’s production. Balancing that fact, we’ve seen a pickup in demand domestically. As I wholly expect U.S exports to decline below a 100 million tons in 2014 and we could see further declines in 2015 if markets remain at current levels. These reductions should help bring better balance to the Atlantic Basin market. Lastly, we believe met markets are in the process bottoming out. Benchmark prices are fallen below the cost for one-third or more of global producers and supply cuts are underway. Those cuts will help to offset new supply that is coming to the market over the last several years. At Arch, we have already rationalized a higher cost supply while building out higher grade and we’re cost competitive metallurgical coal platform. During the third quarter, we shipped 1.7 million tons of met coal at net prices of $80 per short ton. To-date, we have 6.7 million tons committed in met markets for 2014, which means we are effectively sold out. We have also kicked out discussions with our North American customers for calendar year 2015 business. The domestic market remains a key market for Arch in the utilization at the U.S. steel mills has held up reasonably well. Forecast suggested North American steel output will grow again in 2015. We feel good about the demand we’re seeing but remained cautious on prices. Arch has nearly 2 million tons put to bid for the 2015 at reasonable prices and we’ll look to provide further update on our next call. Internationally, met markets remained over-supplied in the near-term, however we are encouraged to see that, European’s steel outlook has increased this year. Europe has a large destination for U.S. met suppliers. In fact, we’re projecting that, Arch’s overall met exports will be up slightly in 2014 versus 2013 levels that prices as you know have come down. In closing, Arch remains no more enabled to respond to evolving market conditions. We have positioned the Company well to withstand this current downturn, at the same time we’re mindful that markets can turnaround quicker than anticipated as evidenced by the Bituminous Thermal segment and I want to ensure that we’re ready to capitalize on those opportunities as they arise. With that, I will now turn the call over to Paul, Arch’s COO for discussion of our regional sales and operating performance. Paul?
Paul Lang: Thanks, John. On the operational front, our western regions turned in another solid performance for the third quarter, achieving good cost control and solid margin expansion. In the Powder River Basin, our sales price per ton increased and our cash cost per ton decreased in the third quarter benefiting from higher shipment levels. As a result, our cash margin per ton expanded 24% during the period as compared to the second quarter. For full year 2014, we remain on track to meet our cash cost guidance expectation in the Powder River Basin, which implies the stronger cost performance in the fourth quarter. Repair and maintenance expense should be lower as we completed several major summer projects and we also expect rail service to improve incrementally during the period. In general, the October rail performance has been below our expectation, but that’s similar to how the third quarter began. We also expect some shipments to spill over into 2015 and we’ve already started work with selected customer to address potential carryover tons in a broader context of securing additional supply for next year. Looking ahead, assuming ongoing recovery in rail service, we anticipate that our 2015 cash cost for the PRB will be comparable for this year. We continue to be encouraged by the dynamics we see in the market served by the Powder River Basin. There is an ongoing interest from customers to secure multi-year contracts for coal to fill their estimated burn needs as well as replenish stockpiles. During the third quarter, we committed in price more than 15 million tons of PRB coals for 2015 delivery. Roughly 45% of those tons represented new business above $13 per ton and other 40% represented tons that priced off an index, while 15% pertain to carryover tons. To-date, we’re fully committed for 2014 and have approximately 80% of our volume committed for next year based on current run rates. Turning to Appalachia, our third quarter cost trended up as expected, due to schedule longwall moves at both Mountain Laurel and Leer. We also incurred wind-down expenses associated with idle in Cumberland River. Excluding the impact of Cumberland River in our third quarter results, our cash cost would have been $1.50 per ton lower for the segment. In the fourth quarter, we’re forecasting lower cash cost in Appalachia as we expect strong cost control across our operations. We also anticipate less of an impact from Cumberland River and have only one scheduled longwall move in December. Thus, we’re on track to meet our cost guidance in Appalachia for the full year which implies a stronger fourth quarter. Looking ahead, we expect cash cost in Appalachia for 2015 to stay flat or trend down slightly versus 2014. We should benefit from a full year production at the Leer mine as well as the positive impact of idling the higher cost Cumberland River complex. Turning briefly to our Appalachian sales profile, John provided you with an update on our 2015 metallurgic business discussions. As indicated, we’re pleased with the demand that we are seeing in domestic in Atlantic Basin but clearly recognized the broader coking coal market remains at the best pricing levels. However, when the pricing environment begins to improve, we’ve maintained significant leverage given the low cost structure of our metallurgic platform. On the thermal side, we continue to see weak market conditions. We’ve reduced our participation in the export market given the current netbacks and simultaneously continued to succeed in placing coal in the domestic industrial business. We’ve also limited our exposure to Appalachian thermal by closing our divesting assets. We now have a thermal platform concentrated that are low cost coal met complex, which is cash flow positive even under current market conditions. Turning to the Bituminous Thermal segment, the sales prices increased and the cost per ton decreased, expanding cash margins in the quarter. During the period, our operations continue deliver solid performances allowing us to reduce our cost guidance by $1 per ton for that segment in 2014. In particular, West Elk ran well in the third quarter due to increased domestic and international customer demand. We now expect to run that operation above 6 million tons for 2014. We also committed Colorado coal for 2014 and 2015 delivery at nearly $30 per ton in the third quarter, helping locked in continued solid margins for that segment. Lastly, turning to our capital plan, we’ve recently reduced our capital spending target by $10 million and now expect to end the year at approximately $165 million, at the midpoint of our guidance including land addition. That estimate is down $25 million since our initial budget was set at the beginning of this year. We continue to see the benefit of the transferring equipment from idled operation as well as process improvement initiatives that have improved maintenance cycle time and extended equipment lives. Looking ahead, we’ll continue to access market conditions when evaluating our long-term capital allocation strategy. As always, we’ll take a disciplined approach into spending capital. Over the next several years, we believe we can successfully run the business at lower capital levels. Post 2016, our South Hilight LBA payment for PRB will also end. Our ability to manage capital as well as reduce cost is helping to preserve our liquidity as we’ve manage through this current market environment. With that, I’ll turn the call over to John Drexler, Arch’s CFO to provide an update on a liquidity position and guidance. John?
John Drexler: Thanks, Paul. As John discussed, we’re focusing on four key areas for the organization as a whole. Both John and Paul have discussed managing our sales and production, reducing cost and capital spend and further optimizing our asset portfolio. In my prepared remarks, I’d like to highlight our achievements in regards to cash flow and liquidity management, topics that have been front of mind for investors these days. In the third quarter, we increased our cash position by $60 million to end September with nearly $1.1 billion in cash. Our total liquidity position reached $1.3 billion taking into account the undrawn portion of our credit facilities. As we end 2014, we expect our cash position to remain around $1 billion with total liquidity of more than $1.2 billion. We expect to successfully preserve our cash position in the fourth quarter largely driven by our focus on strong cost control and prudent capital expenditures. As you know, we entered 2014 with $1.16 billion in cash and short-term investments. Through a combination of strong cost control, prudent capital management, monetization of small non-core assets in Appalachia along with other cash management efforts, we expect to contain cash outflows to under $200 million for 2014. Looking ahead to 2015, with the thermal portfolio that is heavily committed at higher realized prices than in 2014 and with a met portfolio that already has 1.7 million tons committed at reasonable prices and that remains cash positive even in today’s challenging market, we currently believe any cash outflow for next year will be comparable to this year excluding proceeds from asset sales. As a reminder, we have no major financial maintenance covenants until June of 2015. At that time, our last senior secured leverage ratio covenants steps back in on the $250 million revolver. To-date, we have only a minimum liquidity covenant of $550 million in place tied only to any borrowings under that revolver, and we have no meaningful debt maturities until mid-2018. Thus, we have positioned the company with more than sufficient liquidity to manage through current market conditions. We also believe that, we have the financial flexibility to opportunistically enhance our liquidity while also prudently managing our debt maturity schedule. Certainly, we’d all like to see coal markets improve sooner rather than later, but we’ve also adequately prepare the company in case the recovery is delayed. As Paul discussed, we continue to make progress in reducing capital spending without under investing in our portfolio. During the third quarter, we spent $23 million on CapEx. After adjusting for the LBA payment made in the second quarter, our year-to-date CapEx spending totaled $59 million, which represents a meaningful reduction from this time last year. And while we currently are forecasting a modest step up in the fourth quarter, our full year guidance shows that we’ve been managing our business effectively at lower capital levels. Looking ahead to 2015, we also believe we can keep our capital spending at comparable levels to 2014. Turning now to our updated expectations for full year 2014, most of which were outlined in our earnings release today. Despite near-term challenges related to rail transport constraints in the PRB, we expect cash cost in the range of $10.80 to $11.10 per ton. This range anticipates further improvements in rail performance during the fourth quarter. In Appalachia, our third quarter cash costs were above the full year range as expected. For the full year however, we remain on track to achieve our previous guidance of $62.50 to $64.50 per ton. We are once again reducing our cash cost per ton guidance in our Bituminous Thermal segment given our strong operational performance. We now expect cash cost in the range of $20.50 to $21.50 per ton, a reduction of $1 per ton at the midpoint from our previous guidance range. In other financial guidance, we expect our 2014 CapEx range now to be between $160 million and $170 million, included in that range was our $60 million LBA payment for the South Hilight reserve as discussed. DD&A in a range of $410 million to $430 million. Total interest expense between $382 million and $386 million. We note that, our cash interest expense will be between $360 million and $370 million for 2014. We continue to be successful in finding ways to reduce administrative cost. We now expect SG&A expenses between $117 million and $121 million, representing a reduction from our previous guidance of $2 million and a tax benefit for the year in a range of 20% to 40%. As we look ahead, we will continue to find ways to eliminate costs across our platforms, find ways to effectively optimize our assets, control CapEx spending and manage our liquidity. More importantly, we are confident that, we have positioned the company with the sustainable low cost platform of large, scalable operating complexes that generate positive cash flow in these weak market environment and that we’ll create substantial value as coal markets inevitably rebound. Thanks to the actions taken over the last several years to enhance the Company’s financial flexibility, Arch is well capitalized and well positioned to whether the current market downturn and to take advantage of opportunities when market conditions improve. With that, we are ready to take questions. Operator, I will turn the call back over to you.
Operator: Certainly. (Operator Instructions). We will take our first question from Michael Dudas of Sterne, Agee.
Michael Dudas – Sterne, Agee: Hi. Good morning everybody.
John Eaves: Good morning, Michael.
Michael Dudas – Sterne, Agee: Well. John, in your prepared remarks you talked about inventory rebuild potential utilization opportunities given the math and closures and et cetera, how dependent do you see that are on improved rail? I guess on the scale of 1 to 10 with the 1 being really bad, where do you see it now and what’s your expectation given your customer discussions where that might be as we move into 2015 even in beyond in 2016?
John Drexler: Michael, let me start-off and Paul can jump in here. I would say that, we have seen some incremental improvements in the railroad. As you can see from second quarter to third quarter, we saw a couple of million tons of improvement in our volume. We would expect to continue to see that gradual improvement as we move through the fourth quarter. If you remember in our second quarter call, we were talking about the rough start that we had to the third quarter in July, we’re seeing that in October as well, but we would expect hopefully over the balance of this quarter to see some improvements and to see another step up in volume. Certainly, these improvements has not been as quickly as we would have liked to see, but we are seeing those gradual improvements and we’d expect to see that as we move into 2015. We’re reading everything that everybody else is about the delayed improvements in the railroad, but with our conversations with all the railroads, particularly the western rail roads, we’re confident with the progress they’re making and in terms of capital spend. They’re bringing crews on. That obviously takes time to bring in power on. They’re trying to improve their velocity, but it just takes time. So, I would tell you we expect to see some more improvement in the fourth quarter and that to continue as we move into 2015. Will it be we’ll be fully resolved in 2015, I think we should wait on that. Paul you got anything to add to that?
Paul Lang: No. I’d just point out, the railroads picked up about 5% from Q2 to Q3. That was actually a little bit more than I would have thought. As I mentioned earlier, we’re not off to a great start, not the similar to what we were in July, but we don’t need 5% improvement every quarter. I’d like to see what we need to see is sustained incremental 1%, 2%, 3% improvement to get where we need to be.
Michael Dudas – Sterne, Agee: Thank you for those answers. My follow-up John or Paul regarding your met coal position. Could you remind us what historically the mix has between international and domestic and obviously the Leer product and the successful response to that part in the market. Is that anticipated to change more domestic versus international as we get through this contracting Phase in 2015 and how abide you guys can achieve with some of the better utilization we’re seeing in U.S. versus elsewhere?
John Eaves: Mike, we certainly are pleased with the tonnage we put to bid and we got approximately 2 million tons already committed for 2015 at reasonable pricing as we’ve seen. So, we feel good about that. We’ve always had a real focus on domestic market. We will continue to do that. I think it just depends on the opportunities we see. In terms of 2014, I think we got about 35%, 40% of our volumes will be domestic and the balance will be international. So, I think it just depends on what opportunities we see, but we are pleased with the demand we’re seeing domestically, the capacity factors have hung in there in mid 70s range and we would expect that to continue and with our second biggest market in Europe we’ve also been relatively pleased with the demand that we’ve seen there. Now, we’re happy with the pricing, but certainly the demand in the U.S. and the Europe continues to be there.
Michael Dudas – Sterne, Agee: Excellent. I appreciate your thoughts. Thank you.
John Eaves: Thanks, Mike.
John Drexler: Thank you Michael.
Operator: And we’ll take our next question from Mitesh Thakkar from FBR.
Mitesh Thakkar – FBR Capital Markets: Good morning, gentlemen.
John Eaves: Hi, Mitesh. How are you?
Mitesh Thakkar – FBR Capital Markets: Good. So, my first question is just on the cost side. Paul, can you talk a little bit about Appalachian cost? I know third quarter was a little bit of anomaly because of the long wall moves, you mentioned in the 2015 the cost should be flattish, with Leer running full should it been lower and not so much as flattish?
Paul Lang: You know Mitesh, we are really happy with start up at Leer and it continues to perform well and frankly exceeding expectations. As you look at this year, the cost have had a little bit of headwinds with Mountain Laurel and it’s been offset in fact by Leer and we’ve also had the issue of idling Cumberland River. As we head into next year, we are expecting kind of what I’d call the first full normal year at Leer and in general, I think we want to be conservative but we see them trending down in Central Appalachia.
Mitesh Thakkar – FBR Capital Markets: Okay. Great. So it should be lower right, maybe a little bit?
Paul Lang: Yes.
John Eaves: Mitesh, we’ve got a budget meeting later this week and we’ll hopefully get some updates on those numbers and certainly look forward providing more update in January on our call. But as Paul said, we couldn’t be more pleased with the performance thus far of Leer and would expect having a full year at production next year. It is pretty exciting quite frankly.
Mitesh Thakkar – FBR Capital Markets: Great, and just a follow up on the Bituminous Thermal side. Bituminous Thermal position for 2015 looks a little bit more opened compared to the PRB. I mean, is it intentional on has the demand just started to pick up because, I see that you know you guys have done a great job on the margin side both on the Bituminous Thermal side. How should we think about 2015 contracting, because the open position looks a little bit more than what it is on the PRB side?
Paul Lang: Mitesh, as we’ve headed into this time last year, you’ll recall we were quite a bit more opened and the guys have done a great job in contracting West Elk and sitting here with that segment, we’re in pretty good shape. I think this quarter is going to be interesting. We still expect to mine actually have some export volumes next year, because just remember West Elk still is superior product to both New Castle and API too. So, it is still playing a little bit into the export market.
John Eaves: Mitesh, I would also say that, even with the ratio cool off in natural gas prices, we continue to feel pretty confident on West Elk stability to compete here domestically and as Paul said we continue to build latter international book as well. So again, as we get through the budgeting process, I think we’ll have a little bit more clarity on what 2015 looks like.
Mitesh Thakkar – FBR Capital Markets: Perfect. Thank you very much guys and good luck.
Paul Lang: Thank you, Mitesh.
Operator: We’ll take our next question from Brandon Blossman with Tudor, Pickering & Holt.
Brandon Blossman – Tudor, Pickering, Holt & Co. Securities: Good morning gentlemen, Jennifer.
John Eaves: Good morning, Brandon.
Brandon Blossman – Tudor, Pickering, Holt & Co. Securities: Paul, I think you mentioned PRB cost potentially flat year-over-year 15% to 14%, is that a mine plan benefit, is it just continued kind of cost savings or is it mix of the two or just increase in expectations of production?
Paul Lang: Brandon, I’m going to tell you it’s a little bit all of above. Frankly, the guys have done a great job this year on cost control. I think the real thing that’s lost is this rail issue is that, the rail services has been up and down which has brought a lot of inefficiency across the whole supply chain and the guys have done a great job of managing it. One other thing we’re hoping as we head into next year is that, as the rails begin to improve slightly you’ll see that variability drop and it’ll bring some more efficiency to the mine. So, I guess the simple answer is all the above, but we feel like we’re in a pretty good place with the operation right now.
Brandon Blossman – Tudor, Pickering, Holt & Co. Securities: Thanks. That’s helpful. And then longer-term also PRB and this is kind of backing into implied question about what you guys have thinking on seaborne thermal prices longer term. How do you think about PRB export potential today? How much time you’re allocating to that effort over the next year or so?
John Eaves: Brandon, this is John. Certainly, short-term thermal markets are not attractive and we pull back from those quite a bit. We’ve got some limited volume in those markets because quite frankly long-term, we believe that’s where the demand growth is and we continue to spend time on those markets. We’ve actually get offices in Singapore, Beijing and London because we think long-term that market is important to us. If you look at the demand growth and new coal power generation, that’s being constructed around the world, a lot of that’s in Asia and we want to make sure that we’re set up to respond to that growth. We still have an agreement in place for shipments, although we are not doing much of that right now. We continue to work on her Millennium Bulk terminal, and we’re in the early stages of the environmental impact study. We think that will play out over the next year. We have drafted DIS to discuss. But overtime, we are reasonably confident that we’ll get that capacity in and if you think about the implication for that long-term demand growth that we see, it’s certainly important. So, we continue to pursue those. But quite frankly, with the domestic market that we seeing this year, we’ve chosen to stay in this market because the realizations were so much better, but we are not ignoring the international markets, we do think this year exports will dig below 100 million tons, but longer-term we see that as a growing market for Arch Coal.
Brandon Blossman – Tudor, Pickering, Holt & Co. Securities: Thank you very much.
Operator: We will take our next question from Caleb Dorfman of Simmons & Company.
Caleb Dorfman – Simmons & Company: Good morning.
John Eaves: Good morning, Caleb.
Caleb Dorfman – Simmons & Company: I think you mentioned, all of your operations are currently free cash flow positive, is that sort of indication that Arch’s cutting is completely over and maybe we can exact similar volume in each segment next year and if that’s the case, does anyone need to cut production?
Paul Lang: I’ll start off that answer, Caleb. I’d just say, I think what you’ve seen over the last two or three years is that we’ve responded appropriately to the market. Sitting here today, we’ve got our portfolio down to pretty strong set of operations and are cash flow positive and as markets move up and markets move down, we’ll address it.
John Eaves: Caleb, we think we’re positioned well. You can see that by our Eastern cost. I mean, we had a slight uptick this quarter because the longwall move in Cumberland River, but as Paul indicated once we complete the budgeting process for 2015, we expect flattish or even declining cost in the east and we think that’s fairly unique. Not to say that, if for some reason the market deteriorated more, we would address it, but we do think that we are positioned well. It’s been about 25 million tons of cuts announced in the market Australia, Canada and the U.S. We don’t think you have seen much impact from that yet. We think as we move into 2015 you’ll see more that. We think that combined with a little demand growth of even 2% will allow this market to balance and correct overtime and as we’ve seen in past markets particularly on the met side, they tend to over correct and what we want to try to do is Arch is make sure that we’ve got our portfolio in place that we can capitalize when that over correction occurs and we think that’s where we are today. If you look at our products whether it’s met or thermal, we think we’re as well positioned as anybody in the space particularly in the U.S.
Caleb Dorfman – Simmons & Company: That’s helpful. And then a question for John Drexler on the balance sheet. Your unsecured notes are trading some 50 right now. I know that, some of your peers have been in similar situations in the past and they used that potentially to deleverage. Do you see any opportunities to potentially do anything with your unsecured notes?
John Drexler: We’re looking and watching and evaluating markets closely and we worked hard to position the company to have comfortable liquidity and significant runway. We’ve accomplished that and that’s prepared us for riding out through this market cycle and we did that by being responsive and proactive the trends that we saw in the market. We’ll continue to monitor the markets and if opportunities present themselves to take steps to further manage liquidity if we feel that necessary, we can do that. Clearly, with what we’ve seen in the trading levels with some of those bonds, it’s something that we look at but what we think our today’s cash liquidity continue to [audio gap] and we will continue to evaluate all opportunities and as we’ve done this we’ve continue to be prudent and how we manage the capital structure.
Caleb Dorfman – Simmons & Company: Is there anything in your intentions, which would prevent you from buying back some of your notes?
John Drexler: We’ve got a complex capital structure. We’ve got a clear understanding of each instrument within that capital structure and the related flexibility and constraints. We would have opportunities if we so chose in various forms to look at those bonds. As we move forward we would have to strike through the capital structure carefully to do so.
Caleb Dorfman – Simmons & Company: Thank you.
Operator: And we’ll take our next question from Lucas Pipes of Brean Capital.
Lucas Pipes – Brean Capital: Good morning everybody.
Paul Lang: Good morning Lucas.
Lucas Pipes – Brean Capital: I just wanted to follow up on U.S. met coal volumes for 2015. I know it’s little bit early, but first, could you maybe give us a sense of where you stand in terms of your negotiations with the domestic steelmakers and what sort of pricing indications you’re initially receiving here at this time?
Paul Lang: Lucas, obviously as John mentioned, we started the year with about 2 million tons committed. As we entered that last year, we entered into a two year agreement and we all kind a questioned about retrospect and we feel very good about it right. We’re right in the heart of the domestic contracting season and I think we feel pretty good about where we’re at and we’re also pretty realistic about where the prices are. That work should be finished up here I’d say in the four to six weeks, so I think on the next call obviously there will be a lot more clarity before we ahead into the international sale season.
Lucas Pipes – Brean Capital: Then switching gears a little bit some of your peers indicated that, in 2015 there is the potential for you to a significant kind of restocking for the PRB. The way you look at things where would you expect 2015 PRB demand to shake out year-over-year versus 2014?
Paul Lang: Lucas, I think 2015 is going to be interesting for PRB. You’ve got the usual market dynamics of natural gas, the economy, weather, nuclear. But I think what’s new this year is kind of the added dimension of the rail performance, the low inventory that our customers throw that into that met compliance. There is a lot of moving parts out there and I think if we were to sit here and call today when you net all this up, you got I’d call roughly 20 million of increased demand, but probably muting that is somewhere around 9 million or 10 million tons of demand that will be lost in to mass compliance. So, net-net we’re looking at about 10 million ton increase in demand in the PRB.
Lucas Pipes – Brean Capital: Great. I appreciate the color, thank you.
Operator: And we’ll take our next question from John Bridges of JPMorgan.
John Bridges – JPMorgan: Thanks and morning everybody. John, I was just wondering following on from some of the questions about pullbacks in exports, would that expose you to some type of price next year?
John Eaves: John, it could. I mean as you’ve seen this year, we’re on pace for about $40 million LDs. Again we’re in the playing budgeting stage for next year, but I think it’s safe to say that some of those are carrying in the 2015, but it’s a little bit early to kind of give you guidance on that. But clearly, we are bearing terms and lengths on rail agreements, port agreements that will carry in to 2015 and when we update you in January, we’ll give you an indication of where we’ll be for the year.
John Bridges – JPMorgan: Directionally, it sounds like like it’s going to be higher?
John Eaves: Right now, I’m a little bit hesitant to say. I think Paul and his team have done a phenomenal job in mitigating these things and you could see where we started this year and where we are right now, we brought them down pretty significantly and we would expect to build. We continue to do that as we move into 2015. So, I’m a little hesitate to say anything today because they might be able to mitigate between now and our January call, so I want to try to give you as accurate numbers as I can.
John Bridges – JPMorgan: Okay. And then you keep on working on your cost, could you characterize this whole progress that you are making. It sounds like you’ve been surprising us a little bit with the cost you’ve been achieving or which innings of the game do you think you are in now?
Paul Lang: John, I got to tell you I am very proud of the people and what they’ve accomplished. You are going to be surprised as we’ve been surprised right away. You kind of go around the operations, the PRB as I mentioned earlier with all of the inconsistency in rail service and all of things they’ve been dealing with, they’ve really done a good job of just nothing outlandish but just too good basic cost control, very good emphasis on process improvement. The real start of this year has been our Bituminous Thermal segment and that’s both the West Elk and the Viper mine. You know people forget about Viper, but both of those operations have done a great job, lowering their cost and frankly they’ve been great across the board in terms of safety and productivity. So, it’s a good story. Then in the East of course, the start-up of Leer has been you know as good as we could hope. It continues to hit our numbers. As we’ve talked in the past, we had a little bit of trouble at Mountain Laurel that pretty well settled out in the third quarter. So, in general John, there is nothing really super dynamic about the staff. It is just good basic hard work by the team.
John Bridges – JPMorgan: Okay. Thanks a lot and good luck for the rest of the year.
Paul Lang: Thank you John.
Operator: And we will take our last question from Justine Fisher of Goldman Sachs.
Justine Fisher – Goldman Sachs: Good morning.
John Eaves: Good morning.
Justine Fisher – Goldman Sachs: My first question is about the liquidity question. You guys have obviously built up an excellent one and it’s still a billion of cash should the year is great. I know there has been some talking of markets to whether Arch may want to add to that liquidity position by potentially taking out its 2020 bonds. It seems to me that the liquidity last at least for the next three years with the company doesn’t need its more interest expense. My question to you guys is that, is that still something that you would consider to be able to extend the liquidity runway let’s say four, five, six years? Does the runway in your view need to be that long such that you would take the step to take out the bonds and have the most restrictive covenants?
John Drexler: Justine, this is John Drexler. As we indicated earlier, we will continue to look at the coal markets and trends in those markets very closely, we’ll continue as we have been to monitor our liquidity and how we’re able to manage that liquidity through these markets. There are a number of potential opportunities we believe to gain meaningful further flexibility and our ability to manage not just our liquidity but our capital structure. We’ve talked about those, and so you know I think right now as we’re looking at things. We feel comfortable with the liquidity that we have on our books. We’re going to continue to look at the market as we move forward. As we’ve done, if it’s prudent and appropriate, we will take steps necessary to enhance liquidity moving forward. We don’t disagree, we don’t like all of the debt and related interest expense on the books, but we feel it’s necessary right now to protect the balance sheet and we’ll continue to evaluate that as we move forward in markets as they continue to evolve.
Justine Fisher – Goldman Sachs: Okay. Thanks. And then my follow up was actually on issue of feature LBA. So you mentioned earlier that your current LBA payments end in 2016. If I look in the 10-K, there is some comments about the Black Thunder reserve life and how current production sustainable through 2020 and then output would significantly decline after that and then there are some leases in the area that the company made bit on. If I calculate the reserve life it’s a lot longer than 2020, but I was just wondering what exactly would drive that output then would Arch would need to bit on additional LBAs in your buy in order to extend the Black Thunder reserve life at current production rates?
John Eaves: It’s a long question.
Justine Fisher – Goldman Sachs: Sorry. It’s a last question. I apologize.
John Eaves: Let’s start beginning, let’s highlight LBA, we have payments left one in 2015 one in 2016 and in 10-K, we talk about in order to sustain current production level that we need future leases. Obviously, we have a lot longer reserve life, if the production level decreased or was block a little bit. So, I think we have some flexibility on these LBAs. Black Thunder is fortunate that there is quite a few opportunities around the operation. There is currently three LBAs out there, so as we head into 2016 I think we’re going be very cautious on what we do and there is a lot options and we’re just gone take a step at a time and I got to be frank the LBA is are about the last thing I’ll earning worrying about right now.
Justine Fisher – Goldman Sachs: Alright. Thank you very much.
Operator: I will now turn the call back over to John Eaves for any closing remarks.
John Eaves: I want to thank you for your interest all. I also want to take a moment to thank the men and women of Arch Coal for their focus during the third quarter. We continue to focus on the things that we can control cash, capital, sales, production and liquidity. I think as we finalize our planning for 2015, you’ll continue to see how effectively we can manage those four areas. So, we look forward to updating you in January on the fourth quarter and our outlook for 2015. Thank you.
Operator: And this concludes today’s program. You may now disconnect at any time and have a wonderful day.